Operator: Good day, and thank you for standing by. Welcome to VinFast Auto Limited Third Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the call over to your first speaker today, Ms. Nhi Nguyen. Please go ahead.
Hoang Nhi Nguyen Le: Thank you, operator, and good morning, everyone. Welcome to VinFast quarterly earnings call. Joining me today are Chairwoman of the Board, Madam Thuy Le; Deputy CEO of Investments, Ms. Anne Pham; and our CFO, Ms. Lan Anh Nguyen. Before we begin, please note today's call will include forward-looking statements under U.S. federal securities law. These statements reflect our current views on future events, financial operational performance and other matters that involve risks and uncertainties, which may cause actual results to differ materially. Please refer to our most recent filings with the SEC for a discussion of these risk factors. We will also reference certain non-GAAP financial measures. A reconciliation of these measures to the most directly comparable GAAP figures, along with explanation of their use is included in our presentation issued earlier today. With that, I would like to invite Madam Thuy to begin the management remarks.
Thuy Thu Le: Thank you, Le. Hello, everyone, and thank you for joining us today. In addition to Lan Anh, our CFO, I'm very pleased to have Anne Pham, Deputy CEO of Investment on the call with us today. This quarter VinFast marked a significant milestone. We became the first automobile brand in Vietnam to surpass 100,000 vehicle sales within the first 3 quarters of a single year. This follows 13 consecutive months as the nation's best-selling carmaker, underscoring our unrivaled leadership in the domestic automotive market. Growth across our core international markets also continued to gain momentum. Before I go into the country updates, I would like to start with the 3 key takeaways for this quarter. First of all, VinFast remains in growth mode, both at home and abroad. In the third quarter, we delivered 38,195 EVs, representing a 74% increase year-over-year and 7% quarter-over-quarter growth. For the first 9 months of 2025, VinFast delivered 110,362 EVs to customers globally, representing a 149% increase year-over-year. We remain on track for our 2025 guidance to at least double the volumes. VX 3 and VX 5 together contributed 47% of total deliveries, while the Green series accounted for 25% of deliveries. We delivered 120,052 e-scooters and e-bikes, representing a 535% increase year-over-year and 73% quarter-over-quarter growth. The number of EV deliveries to related parties, including GSM, represent 26% of total deliveries. E-scooter deliveries to related parties, including GSM, accounted for less than 1% of total volume, reflecting overwhelming demand from retail consumers. The strong momentum in our e-scooters volume showcases the accelerated shift towards electric 2-wheelers following the announcement of a new policy to restrict gasoline motorbikes from entering central district in Hanoi and Ho Chi Minh City, starting in mid-2026. In Vietnam, we are strengthening our leadership position by broadening our EV e-scooter lineup and deepening our presence in the B2B fleet channel. Internationally, we continue to expand our green mobility ecosystem, a key differentiator for Vintast while growing our dealership network and introducing new products as each market matures. The second takeaway for this quarter is about investing in innovation, which is central to Vintast's long-term competitiveness. Our R&D investments are focused on 3 critical areas: vehicle platform, electrical and electronic architecture and autonomy. Anh will share more details shortly on this exciting road map. Last but not least, we are prioritizing top line growth through targeted investments while viewing cost rationalization as a disciplined medium-term priority. As I have shared before, finding the balance between growth and cost remains a long-term priority. This principle continues to guide our decisions as we invest in expansion and R&D in the near term to strengthen our foundation for the future. Lan Anh will provide more color on this in her remarks. Now let me go into the detailed update by market, starting with Vietnam. Based on aggregated data from Vietnam's Automobile Manufacturers Association and domestic manufacturers. The auto industry reported a mixed result for the quarter with sales dipping in August due to a typhoon before rebounding in September. The industry delivered 94,593 passenger vehicles, flat compared to Q3 2024 volumes, whereas Vintage Vietnam volumes grew 82% year-over-year during the same period. During this quarter, we ramped up production of the VF 3 at the Hà Tinh factory and launched 2 new models, the Limo Green, a 7-seater MPV received strong market response with over 2,000 units delivered in September. We also proudly delivered the Lac Hong 900 LX fleet to the Ministry of Foreign Affairs, marking the first Armored EV certified to VPAM VR7 standards, one of the most recognized international standards for vehicle armored. In our 2-wheeler segment, we continue to see strong momentum. As policies accelerate the phaseout of gasoline motorbikes, consumers are looking to switch to electric 2-wheelers. VinFast now offers a full product range of electric 2-wheelers from affordable models for students to premium options for professionals. Two new e-scooter models with expanded range are planned for 2026. V-Green, an affiliated charging company is expanding battery infrastructure nationwide. Now turning to our international markets, starting with India. Our CKD factory in Tamil Nadu commenced operation this August, partnering with an initial 38 local suppliers. We plan to further expand our local supplier network to enhance localization and strengthen the Made in India footprint of our vehicles. Sales in our first month in India exceeded our internal forecast, reflecting a decisive market debut and a stronger start than any of our previous Asia launches. In October, VinFast ranked within the top 8 for EV registration in the country. As of September 30, we opened 20 dealer stores, announcing financing partnerships with leading domestic banks and third-party aftersales service network. Moving over to Indonesia, where the overall auto market declined about 11% year-over-year from January to September, though BEV sales rose sharply to around 55,000 units, up from about 43,000 units a year ago. VinFast joyed the GAIKINDO Association recently and is now ranked fifth amongst the top 5 BEV brands year-to-date and 15th amongst the 45 automakers. Despite temporary disruption from the August protest, we have expanded our dealership network to 33 locations. Year-to-date, VinFast has captured approximately 5% of Indonesia's BEV market. Indonesia is the first market where we introduced our green mobility ecosystem in partnership with GSM, an affiliated company. GSM now operates in 4 cities in Indonesia and serves passengers at Jakarta, Soekarno-Hatta International Airport. With GSM using VinFast vehicles on the road and V-Green emerging as the second largest charging network in Indonesia, we are strengthening awareness of VinFast holistic offering and setting ourselves apart from other OEMs. In the Philippines, we are capitalizing on this momentum with a stronger marketing push in the last quarter to build awareness of our core products, the VF 3, VF 5 and VF 6. We are introducing a residual value guarantee program this month and expanding our battery subscription model. These programs are unprecedented in the Philippines auto market, and we are proud to be pioneering such consumer-first policies. VinFast continues to grow in line with overall market. As of September 30, we had 13 showrooms. As consumer confidence in VinFast grows, local enterprises are also embracing our green mobility vision. GSM Philippines has partnered with Xentro Motors to deploy 2,000 VinFast EVs across Metro Manila and key urban centers, a strong endorsement of our sustainable mobility model. In the U.S., we opened our first dealership in California and aim to strengthen brand visibility across the U.S. by partnering with our dealer network. Through joint participation in major events such as Electrify Expo in Chicago, New York and Dallas, key markets where our top dealers are based, we strengthened collaboration and amplify their local market presence. Planning also continues for our North Carolina manufacturing facility, which will support our long-term U.S. growth strategy. Over in Europe, our debut at Busworld Brussels was well received, marking an important milestone for VinFast's entry into Europe's commercial vehicle segment. Our EB 12, the full-size 12-meter city bus already meet UNECE and CE standards is now available for order in Europe while the more compact EB 8 will be introduced at a later stage. In Middle East, we announced our strategic partnership with the Arabian Automobile Association to launch comprehensive roadside assistance for VinFast customers across 6 countries in the region. Taking a step back, when we look at the progress that we have made across our international markets, we recognize that as a new engine, it will take time for both our brand and green mobility ecosystem to fully mature from expanding our dealership network to improving charging accessibility through V-Green and ensuring consumers benefit from a competitive total cost of ownership, we are executing our vision to make sustainable mobility accessible to everyone with deliberate thoughtfulness and discipline. As we look ahead, innovation remains at the heart of our journey. With that, let me turn it over to Anne, who will share more about our exciting R&D road map and how these investments are shaping VinFast's future.
Anne Pham: Thank you, Madam Thuy. At VinFast Mobility Day held at Hai Phong Automotive Factory on November 10, we unveiled our product innovation and R&D road map as we're investing in shaping the future of mobility in years to come. In 2026, VinFast will offer 3 distinct brands. The first one, VinFast, comprised of smart EVs for everyday life designed for mainstream consumers who want reliability, safety, technology, attractive cost of ownership and best-in-class warranties. The Green series, EV solutions for commercial purpose and raise utilization for fleets. And last but not least, the Lac Hong series, which is designed and catered to the ultra-luxury market that embodies Vietnamese hospitality, premium materials and quality craftsmanship. We're investing in the latest technologies to enhance customer experience and strengthen our competitiveness. VinFast is evolving its technology stack around 3 pillars: vehicle platform, architecture and autonomy. By increasing commonality and reducing components, our next-generation platform will be more cost efficient to produce and have more enhanced features. We are also reengineering our EE system into zonal architecture. All core softwares will now be owned and controlled by VinFast for suppliers to provide standardized hardware platforms. The centralized computing hub, which is essentially a vehicle supercomputer, enables rapid OTA updates, faster feature deployment and consistent system stability. Finally, on autonomy, VinFast is taking a 2-step approach towards our ADAS autonomous driving road map, choosing to work collaboratively with external partners while strengthening our in-house capabilities. At Mobility Day, we unveiled a demo of our robotaxi project, whose intelligent system utilizes low computing power and vision-only technology. This approach allows for lower hardware cost, higher energy efficiency and greater scalability. Our vision is that VinFast will be a multi-brand full-line EV manufacturer spanning passenger, commercial and autonomous segments. We will move from building EVs to building an entire mobility ecosystem for everyone everywhere. With VinFast still very much in its growth phase, achieving our vision requires continued investment in R&D to strengthen our long-term competitiveness. There are still significant white space opportunities across our core markets, and our strategy remains to stay nimble and responsive to market dynamics while creating the right conditions for sustained EV adoption over the long term. With that, I'll now hand it over to Lan Anh, who will walk you through the financial highlights for the quarter.
Anh Thi Nguyen: Thank you, Anne. I'd like to frame our financial results win in the context of our 100,000 vehicle milestone, a significant achievement reaching record time. Now let me walk you through our results in more detail. The company's strategy in Q3 2025 continued to focus on driving top line growth. As a result, total revenue was USD 719 million, representing a 47% year-over-year increase and 9% quarter-over-quarter. We entered Q4 2025 with strong order backlog from the Green series. Cost of goods sold for this quarter was USD 1.1 billion, an increase of 85% year-over-year and 21% quarter-over-quarter, reflecting the continued ramp-up in deliveries. Gross margin was negative 56.2% in the third quarter of 2025 compared to negative 24% in third quarter of 2024 and negative 41.1% in the second quarter of 2025. Gross margin this quarter was primarily impacted by the recognition of cost of goods sold for vehicles already delivered under customer contracts, while the revenue recognition will occur in the subsequent period. This amount was USD 176 million and reflects a timing difference rather than an economic loss. We also recorded higher warranty costs in the U.S. and Europe as we shifted to third-party service workshops. Excluding the impact mainly due to delayed revenue recognition and NRV adjustments, gross margin would have been negative 17.1%, an improvement from negative 20.8% in Q2 2025 and negative 27.3% in the same period last year. Moving to the operating expenses. R&D expenses were USD 106 million, an increase of 15% quarter-over-quarter and 28% year-over-year as we booked the development cost for the Green Series Lac Hong and EC Van and for models that we plan to launch on our new vehicle platform in 2026. As a percentage of revenue, R&D in Q3 2025 was 15%, marking the fifth consecutive quarter where this is under 20%. Our existing models will undergo a technology refresh on the new vehicle platforms, which will drive additional R&D in 2026. SG&A expenses for the quarter was USD 172 million, an increase of 27% quarter-over-quarter and 25% year-over-year. The higher SG&A expense was due to an impairment charge of USD 49 million that we booked for the battery project and closure of our D2C showrooms in the U.S. and Europe. Adjusted EBITDA, which excludes net loss from financial instruments was negative USD 576 million and adjusted EBITDA margin was negative 80.2%, excluding the impact mainly due to the delayed revenue recognition and NRV adjustment, adjusted EBITDA margin would have been negative 33.1% compared to the negative 44.9% in the same period last year. Net loss for this quarter was similarly impacted. Net loss was negative USD 953 million and net loss margin was negative 132.7%. Excluding the impact mainly due to delayed revenue recognition and NRV, net loss was negative 81.8% compared to negative 109.1% in the same period last year. CapEx for this quarter was USD 261 million, an increase of 24% quarter-over-quarter and 108% year-over-year, driven by CapEx for the new factories overseas and for the expansion in Vietnam. Finally, an update on our liquidity and the previously announced grant and borrowing commitment in late 2024. As of 30th of September, VinFast outstanding borrowing from Vingroup under this commitment were USD 460 million. The company received a total of USD 1.1 billion disbursement from our founders pursuant to the grant agreement. Our total available liquidity as of 30 September is USD 3.7 billion, which reflects cash proceeds from the Novatech spin-off transaction, fundraising commitment from Vingroup, our founder and an ELOC facility. Operator, let's open for Q&A.
Operator: [Operator Instructions] First question comes from the line of Anand Balaji from Cantor Fitzgerald.
Anand Balaji: This is Anand on for Andres Sheppard at Cantor. Congrats on the quarter. So I just wanted to start with some autonomy items from the Mobility Day a couple of weeks ago. So I was wondering maybe what's your expected time line and cost expectations for developing your autonomy stack. Last we spoke, there's a lack of formal regulatory framework in Vietnam for AV. So what are the potential gating factors for this?
Thuy Thu Le: Anand, good to hear from you again. Well, we developed both the autonomy stack both internally as well as leveraging other suppliers. So I think the plan for launching is next year in 2026 for the low-cost version for like robotaxi in our Group ecosystem, in Vingroup ecosystem or in Vingroup development, probably around 2028.
Anand Balaji: Got you. And for the second question, I was wondering if you could refresh us on your capital needs and potentially when are you guys targeting a positive gross margin? If we could just get a little color on your trajectory on that front.
Thuy Thu Le: Well, I think as of now, we have -- our total liquidity is like $3.7 billion at the end of the quarter. So we're good for another 18 months based on our current projection. Yes. And so right now, we're keeping our head down to execute on our operational milestones, and we wait for the market to be better for EV.
Operator: Our next question comes from the line of James McIlree from Chardan Capital Markets.
James McIlree: I was -- can you help me understand the percent of sales in Q4 you think are reasonable to come from outside of Vietnam? That is in the first 3 quarters, it's been 90% to 95% of the vehicle sales in Vietnam. And the question is, is that likely to continue in Q4? Or is there a larger contribution from non-Vietnamese locations in Q4?
Thuy Thu Le: James, good to hear from you. I think in Q4, you will see a little bit more from outside of Vietnam, proportionately a little bit more from outside of Vietnam than in the first 3 quarters. The ramp-up will be mostly come from India, a little bit from Indonesia and some smaller relatively from U.S., Europe as well. It takes time for our overseas market to ramp up. So it takes a few more months to -- for manufacturing for the whole organization to operate to function kind of seamlessly, but it's coming. You're going to see a bigger portion next year coming from overseas markets.
James McIlree: Okay. Appreciate that. And secondly, it was mentioned that there would be an increased R&D in order to support the new platform, I was hoping you could help me understand how much that increase might be? Are we talking a 5% increase over current levels, a 20% increase over current levels? I'm just trying to get a feel for how big that increase might be.
Thuy Thu Le: So I think Lan Anh I will give you a little bit more specific, but I think this year, we target to spend about $1.6 billion in CapEx and R&D, and we have spent about $1.1 billion in the first 3 quarters. Over 35% is capitalized R&D for the new models and product like uplift refreshes and over 65% is to build the CKD facility in -- across Asia in [indiscernible], in Vietnam, India and Indonesia. And I think most of -- for the new platform, most of it has been spent so far. There's -- because we already launched the new platform on the Limo Green, and we started rolling out on other models in 2026. So most of the spending is already there. Anne, you want to go further into details?
Anh Thi Nguyen: Yes. So for the R&D for the new platform that we focus in 2025 to 2026 and the spend for R&D expected to normalize from 2027. And actually, for the flexible payment timing, we're going to manage the pace of spending to ensure about the target to launch the new platform also improved for the cost optimization.
Thuy Thu Le: Yes, talking about cost optimization, that's actually a very good point because some of the vehicles, right? The loan cost can be reduced by like 50%. So really, I mean, the investment is worth.
James McIlree: Okay. And one more, if I might. When we think about the new platform in 2026, can you give us an idea about how many of the units might come from the new platform?
Thuy Thu Le: How many units per year, how many units -- which vehicles? I mean...
James McIlree: As a percent of sales for 2026, how many -- what percent of sales will come from the new platform?
Thuy Thu Le: Pretty much Asia will all come from the new platform, pretty much. I think probably around 80% would come from new platform, 70%, 80% and then the rest is the old platform. But at the beginning of the year, they all roll out, but gradually in the new year. So at the beginning of the year, there will still be legacy platforms and then we start rolling out one by one in the new year. So maybe a little bit positive, probably 50-50 or something.
Operator: There are currently no more questions from the phone line. Please continue.
Hoang Nhi Nguyen Le: Thank you. We have the first question from the webcast audience. As more dealerships close in the U.S., what are VinFast's plans for long-term support? Madam Thuy, would you like to take the question?
Thuy Thu Le: Well, we -- realistically, we're waiting for the new platform to be developed to roll out in like North America and Europe to get us to profitability. So we're not going to -- given -- in the U.S., given the tariff situation and the instability in the EV market, we just need to see how that settle before we kind of push hard in the U.S. So there would only be like this year and maybe next year as well, there would only be a certain number of vehicles that we can share across the dealership. So we -- of course, we would like our -- the dealerships that are committed to us to be profitable and have enough vehicles to get to profitability quickly. So I think until we see some growth and stability in the U.S. market, we don't intend to open more dealerships. Instead, we cultivate the relationship with the existing dealers and make sure that they can get to profitability faster.
Hoang Nhi Nguyen Le: We have the next question from the webcast. Why did loss per car increase Q-over-Q in Q3 despite surge in volumes? What should we expect for loss per car in October and Q4? Ms. Lan Anh, would you like to take the question?
Anh Thi Nguyen: Yes. For the car loss for this quarter, that's primarily due to the certain orders that we already delivered our vehicles, but yet recognized as a revenue. Even though the related goods like our vehicle transfer out of stock, that's because for the revenue recognition in line with the accounting standards, so we yet recognize as a revenue. So the revenue is expected to be recognized for -- in the subsequent period. So on an adjusted basis, excluding these orders, the results show a slight improvement compared to the previous quarter.
Hoang Nhi Nguyen Le: Thank you, Ms. Lan Anh. We have the next question from the webcast. Please provide 2026 guidance for 4-wheeler and 2-wheeler delivery volumes and EBITDA expectation.
Anh Thi Nguyen: So we plan to release our 2026 guidance early next year, and we expect that we maintain a strong growth trajectory in 2026 because we prioritize volume expansion to reach the economies of scale.
Hoang Nhi Nguyen Le: Thank you, Ms. Lan Anh. We have the next question from the webcast. Do you plan to introduce a hybrid model? And when will it launch? Ms. Anne, would you like to take the question?
Anne Pham: Thank you, Le. Well, as an innovation-driven company, our R&D team continuously explores advanced technologies, including powertrain solutions to enhance product performance and deliver superior customer experience. So today, our core team strategy remains focused on fully EVs. The decision to launch any new product undergoes rigorous testing and commercial validation, and we'll only do so once these standards have been fully met. At the moment, we're not working on any hybrids in the R&D platform.
Hoang Nhi Nguyen Le: Thank you, Ms. Anne. We have the next question from the webcast. You mentioned a solid order backlog going into Q4. Which models are seeing the strongest demand within that backlog? And are you on track for 2025 target? Madam Thuy, shall you like to take the question?
Thuy Thu Le: So as of mid-October, we are seeing a very strong order backlog from the Green series, particularly the Limo Green, the new MPV 7 seaters and the Minio Green, which together make up about 50% of our total backlog. So we can't deliver enough vehicles to meet our backlog. In October, deliveries in Vietnam surpassed 20,000 units, making VinFast the first brand in the country to sell more than 20,000 cars in a single month. And in Vietnam alone, we have cumulatively delivered over 120,000 EVs. We remain positive about our 2025 guidance. And I think we are going to have -- we're reaching a 30,000 vehicles delivery per month. So [indiscernible].
Hoang Nhi Nguyen Le: Thank you, Madam Thuy. We have the next question from the webcast. Regarding the cooperation agreement with Saigon Glory, what is the rationale for entering into a real estate development when cash flow should be focused on vehicle production. Are there any near-term plans to enter other real estate projects or partner with [ VinFast ]? Madam Thuy, would you like to...
Thuy Thu Le: Well, our core priority remains EV innovation and driving cost down and the technology refresh program is fully funded with the cash that Madam Nguyen has mentioned earlier and the liquidity that we've secured for the next few years. The investment cooperation that VinFast recently entered into is a 5-year passive investment under which VinFast may contribute up to around USD 800 million in VND equivalent, while our partner provides development rights and expertise. The investment assures full capital recovery of the investment amount of around up to $800 million at maturity, generating a committed pretax profit of approximately above USD 830 million, subject to the full amount of committed investment being invested. The capital contribution is supported by unused funds or spare liquidity to the extent that it has not been used and disbursement of capital is expected to be in line with the implementation progress of the invested project without materially affecting operating cash flow of global EV manufacturing and expansion plans of VinFast.
Hoang Nhi Nguyen Le: We have the next question from the webcast. Will ASP need to be much lower compared to Q3 in order to achieve '25 volume guidance? Ms. Lan Anh, would you like to take the question?
Anh Thi Nguyen: So far in 2025, our ASP has been weighted towards our more affordable models. So for the full year, we expect that the VF 3, VF 5 make up just under the 50% of total deliveries. So for the rest of the year and looking ahead to 2026, our current sales spend poised to more like a balanced mix with VF 3, VF 5 on one side and the Green series along with the VF 6, VF 7 on the other, especially as we begin ramping deliveries for India. So for ASP, we're assuming it remains roughly flat in the coming period. The higher ASP from VF 6, VF 7 is expected to be offset by the slightly lower ASP from the Green series.
Hoang Nhi Nguyen Le: Thank you, Ms. Lan Anh. We have the next question from the webcast. Could you give us an update on the production ramp-up at Hà Tinh plant?
Anh Thi Nguyen: Sure. Thanks, Le. The Hà Tinh factory is ramping up very well. It is currently producing 15 jobs per hour compared to the maximum of 35 jobs per hour. We've shifted production of our smaller models from Hai Phong to Hà Tinh as well, and the plant has already produced several thousand VF 3 units in the third quarter as part of its ramp-up. Looking ahead, Hà Tinh will be the main production site for the Minio Green, VF 3 and the EC Van.
Hoang Nhi Nguyen Le: Thank you, Ms. Anh. We have the next question from the webcast. As you look into 2026, which markets or product lines will be VinFast's biggest growth drivers?
Thuy Thu Le: In 2026, we expect more contribution as the Green series scale more and the new VF 6 and VF 7 platform will come online. These products are designed to be more competitive, both from the cost as well as market perspective. So that contribution should build steadily as we move through 2026 and into 2027. Across our international footprint, we anticipate more meaningful volumes coming from India, Indonesia and the Philippines as we expand the lineup in each of the markets. Vietnam will remain our anchor market in the near term. For the next year, we expect Vietnam to account for roughly 70% to 80% of total deliveries with the balance coming from international markets as they continue to scale up.
Hoang Nhi Nguyen Le: We have the next question from the webcast. How is battery costs tracking in the past few quarters? How is it expected to trend in the upcoming quarters?
Anh Thi Nguyen: Thank you, Le. Battery costs have continued to decline quarter-over-quarter, extending the downward trajectory established in 2024. On the average, we have seen battery prices come down by approximately 10% or 12% year-over-year across various models. We are transitioning to a new more cost-efficient battery generation underpinned by our suppliers' technology advancement that meaningfully lower unit cost. And also, we expect like further cost optimization going forward, driven by continued improvements in battery technology and manufacturing efficiency.
Hoang Nhi Nguyen Le: Thank you, Ms. Lan Anh. We have the next question from the webcast. Further sharing regarding the new lines of vehicle, you mentioned 3 brands. Can you share the philosophy around that? And what is the split percentage for each brand to contribute?
Anne Pham: Thank you. I think, first of all, it is still a little bit early for us to break out the expected financial contribution from each brand. The primary objective behind establishing the 3 brands is really to sharpen our customer segmentation, ensuring that each brand has a clearly defined audience and purpose. With a portfolio that spans more than a dozen models, creating intuitive brand spaces help our customers immediately understand what each line represents and which use case the brands serve. Strong brand segmentation also allows us to fine-tune pricing strategies, tailor our marketing messages and run more targeted campaigns for each customer group. It helps us to optimize our product road map and go-to-market approach by reducing overlap and minimizing cannibalization between brands. Over time, as the brand architecture matures and our market scale, we'll also have better visibility to commence on the individual brand contributions towards our top line and bottom line.
Hoang Nhi Nguyen Le: Thank you, Ms. Anne. We have the next question from the webcast. How is VinFast and V-Green planning to accelerate the rollout of its battery swap network for e-scooters?
Thuy Thu Le: Okay. So V-Green plans to leverage the strategic partnership to accelerate the rollout of battery swapping for e-scooter in Vietnam. So V-Green is working with a really large retail organizations in Vietnam like IPT Retail, a lifestyle electronic retail network with Viettel Post to allow us to put the swapping -- battery swapping stations at the subloocations, co-locate shopping station with the postal and distribution hubs for Viettel Post. So this not only give us access to large high traffic sites, but also create synergies with existing delivery and shipping fleet. To scale even faster, it could explore a franchise or revenue sharing model like we did with the EV battery -- EV charging stations. And we expect that the cooperation as well as the rollout of the battery swapping locations to increase very quickly, especially now that in major cities in Vietnam, like in Hanoi and Ho Chi Minh City from mid-2026, right, the 2-wheelers -- internal combustion engine 2-wheelers are no longer allowed in central locations.
Hoang Nhi Nguyen Le: Yes. Thank you, Ma'am Thuy. And on that topic, we also have another question from the webcast. Your 2-wheeler business has delivered exceptional volume growth this year. And we've seen at least one major legacy competitor publicly acknowledge the impact that recent government policies have had on their sales VinFast appears to be one of the clearest beneficiaries of this policy to shift towards encouraging electric 2-wheelers. With these tailwinds in place, how are you thinking about the outlook for 2-wheeler business in 2026?
Thuy Thu Le: I think in 2026, we -- the 2-wheeler business for VinFast will grow at an accelerated level, demonstrative of the ongoing electrification megatrend and policy tailwinds in Vietnam. While we have not provided the guidance for 2-wheeler business, yet, VinFast has been continuously increasing our production in response to the market opportunity and remain optimistic about the outlook for this market segment. This year is the first time we have seen 2-wheeler volumes outpaced 4-wheelers in our business. And this segment contribution to overall revenue is still under 10%. So next year is going to be a big year for 2-wheelers in Vietnam and 2-wheeler will also start. So we target like 1.5 million 2-wheelers in deliveries in 2026 in Vietnam alone. So about 60% of the total new sales in Vietnam. So that is our target. And we will start rolling out in, I think, earlier in the year in Indonesia, in the Philippines and later in the year in India and maybe other markets as well. So it's going to be -- next year is going to be a good year for our 2-wheelers.
Hoang Nhi Nguyen Le: Thank you. And we have the next question from the webcast. How do you view VinFast international markets in terms of near-term profitability versus long-term ecosystem development?
Anh Thi Nguyen: Well, first of all, VinFast does not disclose profitability on a market-by-market basis. As with most global OEMs, the development of our ecosystem in new international markets will take time to reach scale and mature as what Madam Thuy has explained a little bit earlier on this call. It's important to underscore that we manage profitability at the enterprise level, reflecting the full portfolio of products, regions and ecosystem services rather than evaluating performance by individual model or individual geography.
Hoang Nhi Nguyen Le: Thank you, Ms. Anh. We have the next question from the webcast. Can you provide a little bit of update on the North Carolina facility?
Thuy Thu Le: There's still no change to our plan to have our North Carolina facility SOP by 2028, and we will provide more update on the resumption of construction in 2026.
Hoang Nhi Nguyen Le: Thank you, Madam Thuy. We have the next question from the webcast. Can you please break down the liquidity runway that the company has continued to implement its strategy over the next 12 months? Ms. Lan Anh, should you like to take the question?
Anh Thi Nguyen: So for the -- our total liquidity as of the 30th of September 2025 is USD 3.7 billion, providing us with approximately 18 months of runway of support operations and growth plans. So like for the cash and cash equivalent, we have the USD 349 million. We have like the USD 930 million of the fundraising commitment from Vingroup, USD 837 million from our founder and the remaining from like the ELOC facility and also for the announced completed Novatech spinoff transaction.
Hoang Nhi Nguyen Le: Thank you, Ms. Lan Anh. We have the next question from the webcast. Are new dealerships currently in the pipeline do you plan to open in California? Madam Thuy, should you like to take the question?
Thuy Thu Le: We are exploring a few dealership candidates in California right now with the opening of the dealership -- first dealership in San Diego in August. Right now, we still have 2 or 3 territory open in California for applications. I mean California accounts for about 35% of the EV sales in the whole U.S. So we can -- we need a strong presence in California.
Hoang Nhi Nguyen Le: Thank you, Madam Thuy. On the U.S. topic, we have the next question from the webcast. How much inventory does VinFast have in the U.S.? And do you expect to sell in the U.S. in 2026?
Thuy Thu Le: So VinFast has proactively reached vehicles to the U.S. before April 20. The remaining stock is still sufficient for a few months of sales, and we are planning new shipments to the U.S. as well.
Hoang Nhi Nguyen Le: Thank you, Madam Thuy, thank you Ms. Lan Anh. That's all the questions we get from the webcast today. Thank you, everyone, for attending. Operator, back to you.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference call. Thank you for your participation. You may now disconnect your lines.